Operator: Good morning everyone, and thank you for standing by. And welcome to the Third Quarter, 2022 Prestige Consumer Healthcare, Inc. Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question and answer session. . I would now like to hand the conference over to your speaker host, Phil Terpolilli, Vice President of Investor Relations, Treasury. Please go ahead.
Phil Terpolilli: Thanks, operator, and thank you to everyone for joining today. On the call with me are Ron Lombardi, our Chairman, President and CEO; and Christine Sacco, our CFO. On today's call, we're going to review the results of the third quarter fiscal 2022, provide an updated on our full year outlook and then take questions from analysts. There's a slide presentation which accompanies today's call, it can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the Investors link and then on today's webcast and presentation. Remember, some of the information contained in the presentation today includes non-GAAP financial measures. Reconciliations to the nearest GAAP financial measures are included in today's earnings release and slide presentation. On today's call, management will make forward-looking statements around risks and uncertainties, which are detailed in the complete safe harbor disclosure on Page 2 of the slide presentation accompanies the call. These are important to review and contemplate as everyone on the call today is well aware, business environment uncertainty remains heightened due to COVID-19 and continues to have numerous potential impacts. This means the results could change at any time, and the forecasted impact of risk consideration to the best estimate based on the information available as of today's date. Further information concerning risk factors and cautionary statements are available on our most recent SEC filings and most recent company 10-K. I'll now hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks Phil. Let's begin on slide five. We are very pleased with our Q3 results, which exceeded our expectations and continued the strong business momentum we experienced in the first half. Revenues of $275 million in Q3, grew 15% versus the prior year, a consistent performance with trends experienced year-to-date. Our base business trends remain robust across the majority of our portfolio aided by strong consumer demand and our time-tested brand building. Additionally, the quarter experienced sales and consumption rebounds in certain categories that have been impacted by COVID-19, most notably cough and cold.. This fueled incremental Q3 sales versus our prior expectation discussed in November. And our international segment also increased double digits to record quarterly revenues driven by broad-based strength for the segment's flagship brand, Hydralyte. Solid sales growth continues to translate into strong earnings and free cash flow. We generated about a $1 of EPS and free cash flow of about $65 million, both up double digits versus prior year. Lastly, we continue to be disciplined around use of cash generated by the business. The acquisition of Akorn consumer brands completed earlier in the year continues to perform well and align to our expectations. We finished the quarter at 3.9 times net leverage ahead of our previous guidance to be below four times by year-end, which further enables future capital allocation optionality. Now, let's turn to page six for a deeper dive in the Q3 performance. A solid Q3 sales and profit performance was achieved against a macro backdrop of a new variant of COVID-19 during the quarter, as well as a dynamic cost and supply-chain environment. This a testament to the execution of our proven business strategy that continues to allow us to navigate challenges like these successfully. Three major attributes shown on the page help enable this during the quarter. At left, we have a reminder of the power of our portfolio's diversification. Our brands are trusted by consumers and are wide-ranging across categories. This has allowed us to be agile and opportunistic around marketing opportunity as they have occurred throughout the pandemic. In the middle of the page is a reminder COVID-19 rebound we've experienced. This broadened out again in Q3 with accelerating cough and cold demand versus prior year. Furthermore, consumers proactively sought hydration products during Q3, which benefited Hydralyte in Australia. Finally, on the right side of the page is supply chain. Like others, we are experiencing the headwinds associated with supply chain constraints and inflationary pressures. Fortunately, we are well-positioned to navigate this dynamic environment. The diversification of our supplier base gives us the agility to adjust to a volatile supply environment helping to ensure continuity in a supply chain and support growing sales. So to summarize, we are leveraging our portfolios attributes including its product diversification across categories to drive long-term growth. We are experiencing a solid rebound in multiple COVID impacted categories and while experiencing macro headwinds, we believe we are well-positioned to navigate supply chain challenges. Now, I'll turn it over to Chris to walk through the financials.
Christine Sacco: Thanks, Ron. Good morning everyone. Let's turn to slide eight and review our third quarter fiscal 2022 financial results. As a reminder, the information in today's presentation includes certain non-GAAP information that is reconciled to the closest GAAP measure in our earnings release. Q3 revenue of $274.5 million, increased 14.9% and 8.8% on an organic basis versus the prior year, the latter excluding the acquisition of Akorn, which added $13.7 million in the quarter. By segment, North America revenues were up about 14%. Nearly all product categories grew with the largest organic increases in GI, ear and eye care and especially cough and cold where we experienced favorable sales trends versus the prior year for both Luden and Chloraseptic. The international segment increased approximately 18% in Q3 after excluding the effects of foreign currency. As Ron highlighted earlier, Q3 was a record international performance. The segment continue to benefit from favorable consumer trends in many of our categories previously impacted by COVID-19 including strong sales for the Hydralyte brand. EBITDA increased in Q3 approximately 11% and EBITDA margins remained consistent with our long-term expectations in the mid-30s. Diluted earnings per share for the quarter was $0.99, up 22% versus the prior year driven primarily by higher sales and lower interest expense. Let's turn to slide nine for more detail around consolidated results for the first nine months. Revenues for the first nine months of fiscal 2022 increased 15% versus the prior year, an approximately 12% on an organic basis. This performance was driven by strengths across segments and most brands along with accelerated performance in certain COVID impacted categories such as travel and cough and cold. We also continue to experience year-over-year double-digit consumption growth in the e-commerce channel further building upon the sharply higher online purchasing shift that occurred throughout fiscal 2021. Total company adjusted gross margin of 57.7% year-to-date was comparable with last year's gross margin of 58.2%. We continue to anticipate a full year gross margin of approximately 57%, reflecting supply challenges and cost pressures we and others are experiencing. We have instituted pricing actions across our portfolio and will continue to do so moving forward as necessary to continue to offset these inflationary headwinds. Returning to year-to-date results, advertising and marketing came in at 14.7% for the first nine months, similar to the prior year as a percentage of sales and growing in dollars. For Q4, we'd anticipate an A&M rate of approximately 14%. Adjusted G&A expenses were just over 9% of sales year-to-date, and we continue to anticipate G&A of around 9.5% of sales for the full year. Adjusted diluted earnings per share for the first nine months of $3.15, grew approximately 29% over the prior year. Higher sales and lower interest expense drove this growth. We still anticipate interest to approximate $63 million for the full year, as well as an effective tax rate of around 24%. Now let's turn to slide 10. For the first nine months we generated $193.8 million in free cash flow, up about 22% versus the prior year due to the strong operating performance just discussed, as well as lower CapEx in fiscal 2022. We continue to maintain industry-leading free cash flow conversion based around our asset-light model. At December 31st, our net debt was approximately $1.5 billion, and we finished the quarter with a covenant-defined leverage ratio of 3.9 times. Our strong operating performance and focused on debt reduction have allowed us to achieve a leverage ratio below that of when we acquired Akorn earlier in the year. We continue to operate with a disciplined capital allocation strategy that prioritizes debt reduction in the near-term. With that, I'll turn it back to Ron.
Ron Lombardi: Thanks Chris. Let's turn to slide 12 to wrap up and discuss our increased outlook. Our proven business strategy and diversified portfolio have allowed us to successfully navigate the dynamic market and led to a record fiscal 2022 performance thus far. For the full year we now anticipate revenues of $1.75 billion to $1.80 billion. This includes an organic revenue growth expectation of about 9% as we anticipate a continued recovery in certain COVID impact categories for the remainder of the year. We are also raising our full-year earnings and cash flow outlooks. We now anticipate adjusted EPS of $4 to $4.04 for fiscal 2022 equating to an increase of about 23% to 25% versus the prior year. We anticipate adjusted free cash flow of $250 million or more as well. Looking ahead to fiscal 2023, we expect to face another year of unusual comparisons and quarterly volatility stemming from COVID disruptions, as well as comping our fiscal 2022 record results. Even with this, our business remains well-positioned and we expect our business attributes to enable both top and bottom line growth in the upcoming fiscal year. We look forward to sharing a more detailed full-year fiscal 2023 outlook in May and remain confident, we have the right business attributes and strategy to deliver superior results that reward our stakeholders over the long term. With that, I'll open it up for questions.
Operator:  And our first question coming from the line of Rupesh Parikh with Oppenheimer. Your line is now open.
Rupesh Parikh: Good morning. Thanks for taking my question. And congrats on another strong quarter. So I guess, just Ron, just ending on you just talked about the four outlook for next year that you guys expect top and bottom line growth. I know you can't provide specific guidance at this point, but maybe some more color in terms of the tailwind and headwinds as you look to the next year in terms of actually lapping such a strong year?
Ron Lombardi: Yes. Good morning, Rupesh. So, just a couple of things. First is, we provided some outlook for next year just I think to reinforce the optimism that we have around the business right now. The business has a lot of momentum. And we're really firing on all cylinders. So we wanted to get that point across. And as we look into next year, we anticipate growth even stepping off of the record results that we have this year including an expectation of organic growth.
Rupesh Parikh: Okay. Okay, great. And then, on the capital allocation front, at least based on our model it looks like you guys can be even below the lower end of your targeted debt-to-EBITDA ranges. How do you know -- if you guys do end up being below range like, how do you guys think about this capital allocation into next year? Like, does anything change from a prioritization standpoint whether that pay down share buybacks or anything else?
Ron Lombardi: Our capital allocation priorities will remain consistent even if we operate below the 3.5 floor that we've talked about. The first is continued de-levering. Second would be thoughtful consideration of M&A opportunities as they pop up. And third would be opportunistic stock buyback if we see opportunities to get good returns for the shareholders by buying stock back. So, no change in that.
Rupesh Parikh: Okay, great. And just my final question just on the cost backdrop. If you can remind us again the magnitude of the headwind that you're facing this year. And then, how your pricing has played out versus your expectations?
Christine Sacco: Sure. Rupesh, good morning. It's Chris. So, we talked about $10 million or $15 million of inflationary pressure this year that's contemplated in our guide and there's no change to that on today's call. In November, we talked about 30% of the portfolio having taken price. And the latest update is, we've now either taken price or have initiated further pricing actions around the vast majority of our portfolio. So, we remain confident in our ability to offset further pressures with pricing, should the inflationary environment worsen.
Rupesh Parikh: Okay, great. Thank you.
Operator: Our next question coming from the line of Stephanie Wissink with Jefferies. Your line is open.
Stephanie Wissink: Thank you. Good morning everyone. Just a follow-up on Rupesh's question on pricing. I'm wondering if you can give us some degree or a magnitude of the price increase you're seeing overall in the OTC category and then how your pricing compares to that?
Christine Sacco: Yes, Steph. Good morning. So it's Chris. So pricing for us and I think kind of consistent with what we're seeing out there is mid to high single digits in most of our categories for products where we've had significant cost inflation. It's worth about a point for us in this quarter. And obviously we'll play out. Obviously there's a timing factor to how that rolls out as we work through the rest of our fiscal 2022 and into next year. But I think that's pretty consistent with what we're seeing out there across other brands.
Stephanie Wissink: That's very helpful. And then my second question is on the trade inventory levels. just given there's been so much dynamicism in the mix of business and COVID impacted categories starting to see a recovery. How are you feeling about the trade inventory? How are you feeling about your own inventory? And do you anticipate having to recalibrate as we move through the next six to 12 months?
Ron Lombardi: Sure. Good morning, Steph. So for starters, I think we and the retailers would both like to see more inventory in place, right? There's a lot of peaks and valleys in terms of demand and quickly shifting consumer buying habits that I think we'd all like to be a little bit better positioned to deal with. For example, our performance this quarter was large or the out performance was largely concentrated in the last month of the quarter as the omicron variants kind of chased shoppers into the stores. So we'd like to see a bit more inventory, the retailers would. And then in terms of at shelf for the most part we're in pretty good shape. Although there are pockets where we are a bit more challenged in terms of presence at shelf and some stock outs. But the supply chain has been able to keep up with record levels of shipments the last couple of quarters for us here.
Stephanie Wissink: That's great. My last question actually is a two-part question on e-comm. I think you mentioned, it was up double digits and you called out the online shift in 2021. But then Ron your comment just recently that you've seen more of a foot traffic and distort. Can you talk a little bit about e-comm penetration? Where are you in that longer term outlook? And then, as you think about 2022, do you expect e-comm to donate back to stores? Or do you expect there to be some neutralizing factor this year that kind of balances out?
Ron Lombardi: Yes. So for fiscal 2022, we continue to see e-commerce growth well above brick and mortar growth. And we would continue to expect that the online e-comm growth will be above brick and mortars. Tough to predict what consumer shopping habits will be going forward. But clearly the trend seems to be sticking the convenience, the quick delivery of many products that are ordered online is shipped to home and then the growing aspect of order and pickup in the parking lot or order online pickup as you enter the store. So, all of those attributes I think are going to continue to help see it grow strong -- strongly. So, we're still in the early stages even though our business has gone from $15 million or $20 million to over $100 million in just a couple of years here. But it's something we continue to invest behind and work with our brick and retail, brick and mortar retail partners to be successful in their e-comm initiatives as well.
Stephanie Wissink: Thank you. Very helpful as always.
Ron Lombardi: Thank you, Steph.
Operator: Our next question coming from the line of Jon Anderson with William Blair. Your line is open.
Jon Anderson: Hey, good morning everybody.
Ron Lombardi: Good morning, Jon.
Christine Sacco: Good morning.
Jon Anderson: I wanted to start with the -- just the guidance on the top line. I think it implies a pretty meaningful deceleration in organic growth in the fourth quarter. And that would be I think the easiest comparison of the year. And just given kind of the momentum in the business right now and the recovery and some of the COVID categories and perhaps shipping ahead of consumption to restore some on-shelf, in stock levels that they're trying to understand is that a just conservatism baked into that? And are there other kind of factors at work that we need to consider?
Christine Sacco: Hey Jon, it's Chris. Good morning. So, a couple things I guess to consider, as Ron just mentioned, we saw a pretty meaningful acceleration in our sales in the month of December. Obviously, a very dynamic environment. As we sit here today, as a reminder we took a full year guide up this morning that included a call up for Q4, which is essentially reflecting a continued rebound in cough/cold. And we are forecasting continued strong consumer demand across markets. But obviously we'll learn a lot more as we go. But in this environment we thought that was proven.
Jon Anderson: Okay. And then on the 2023, broad commentary on 2023, you mentioned an expectation for organic growth on top of the great results in 2022. Are you thinking about 2023 and kind of a long-term algorithm kind of growth 3% I think was -- you've talked about the top line growth organically over the longer period of time. Is that the way we should kind of think about it at a high level?
Ron Lombardi: Yes. We'll provide more detail in May, Jon. A little bit early here for us to get into the details for next year. The quarter that ended December was hard to predict when we were talking in November. So, tough to protect the particulars at this time. But today's comments were meant, want to reinforce how we feel good about the business that our underlying categories excluding the COVID categories that are certainly getting a tailwind this year continue to be positioned well for continued organic growth. If you look into the queue you'll see that the vast majority of our categories have grown nicely year to-date given the choppy environment we're in. So -- but yes, we would anticipate organic growth on top of the addition of the one quarter of the Akorn consumer brands that we own for all of 2023 versus just three quarters of 2024.
Jon Anderson: Okay. And there's one more kind of broader question on the market and consumer behavior. Are you -- do you see or perceive more permanent changes in consumer behavior, maybe some of it is brought on by longer term factors, some brought on by the pandemic. And what I'm getting at here is like, is there a greater focus on prevention, preventative type of health care measures, self-care, maybe certain categories like weight management or vitamins. Or I guess, what's changed or changing with respect to consumer demand patterns? And do you see benefits in your portfolio today as a result of that? And would any of those changes inform what you might look at from an M&A perspective in the future? Thanks.
Ron Lombardi: Yes. So, I think first of all Jon, and we've talked about this for a very long time, which is why we've been concentrating our efforts in the consumer health care space, right? Is that there's been a long-term trend of consumers being more thoughtful of their health and wellness and taking care of it. And during the pandemic I think it's been even more heightened around hygiene for example, and things that help strengthen the immunity system and cough/cold products and that kind of thing. So, as we've seen over the last two years, the spaces that we compete in are part of that environment as people think about taking care of themselves at home rather than going into the doctor's office. So, we'll see whether those trends stick long term or whether their levels of growth will slow over time. But our diverse portfolio of trusted brands with long heritage with consumers I think has us very well-positioned for continued long-term growth no matter how the consumer thinks about taking care of themselves over time.
Jon Anderson: Great. Thanks a lot.
Ron Lombardi: Thank you, Jon.
Operator: And our next question coming from the line of Anthony Lebiedzinski from Sidoti & Company. Your line is open.
Anthony Lebiedzinski: Yes. Good morning and thank you for taking the question. So, in terms of advertising expenses, I mean, what are you guys seeing there in terms of just the advertising rates. I know you provided your guidance for the fourth quarter. But just broadly speaking in terms of the rates across different media channels. I mean, what are you seeing there? And how do you expect that to play out in fiscal 2023 just broadly speaking?
Christine Sacco: Hey, good morning Anthony. So, certainly there's some inflationary pressures around A&M just as there are across so many factors right now. But we get smarter every day. How we spend our A&M dollars with ecomm -- the ecomm channel as an example of key learnings, we're getting more efficient. And so we're able to offset a lot of that. It's not a a big concern within the company when we just think about our overall spend. It's certainly there, but I think our efficiency is helping to offset the impact.
Anthony Lebiedzinski: Got you. Okay. And then, obviously with the supply chain, there's still some gross margin pressure as far as that, I mean, that's concerned, other than price increases are you doing anything else as far as anything you could call out that to try to offset some of those pressures?
Christine Sacco: Sure. So, our operations team is always hard at work with multi-year projects for cost savings and that could include -- excuse me, co-packer consolidation, negotiating better rates with our transportation partners in terms of lanes and who we're using partnering with. So, a whole host of things folks are looking at dual sourcing. Looking at maybe APIs and how they can be sourced more efficiently. So, no stone will go uncovered. But we again, always have multi-year programs in place and always focused on it. In this environment, obviously it's even more so.
Anthony Lebiedzinski: Got you. Okay. And then, last thing as far as CapEx, what should we expect for fiscal 2022?
Christine Sacco: Yes. We got it about $10 million, right? Generally speaking, we talk about pretty modest capital obviously with our asset-light model 1% to 2% of sales on an annual basis and this year just with timing it'll come in at the lower end of the range.
Anthony Lebiedzinski: Got it. All right. Well, thank you very much. Best of luck.
Ron Lombardi: Thanks Anthony.
Operator: And our next question coming from the line of Linda Weiser with D.A. Davidson. Your line is open.
Linda Weiser: Yes. Hi. Could you just highlight -- in the past you've had some interesting innovations at certain points in certain products. Are there any innovations that you've had in the last year you'd like to highlight? And then, maybe you could just comment on which products are kind of most strongly gaining share? And then maybe ones that you would like even more share game to occur? Thanks.
Ron Lombardi: Hey, good morning Linda. New product and innovation launches are an important thought of how we build our brands and expand our sales and share every year. So, for fiscal 2022, it's been no exception. We've had a number of new products and innovation launched across a number of brands including Summer's Eve, Compound W and a number of others. So, it's going to continue to play a role going forward. But nothing that has been a significant contributor to the success this year. It's just in the base every year and a consistent contributor to performance .
Linda Weiser: Any categories that you want to highlight where your share gains are particularly strong?
Ron Lombardi: Sure. If you look at across our portfolio, Dramamine, even in this disrupted environment and quick recovery has done well. And Clear Eyes has probably been the biggest share gainer and biggest success that we've had this year across the portfolio. So I think those are two call out areas.
Linda Weiser: Okay. And then, I was just curious on your e-commerce sales. I would expect that the vast majority comes through Amazon, are you a first party or a third party seller on Amazon? Or is it about -- or a combination I guess. Can you just give a little more color on how you go about that business?
Ron Lombardi: Yes. So, we're a bit of both. And what we do, is we focus on how to win with the consumer and what product offering is working best through Amazon. And that'll drive whether it's a 1p or a 3p focus for us. And then, obviously Amazon is the big number for us and the big dollar of growth, but we do still focus on working with the dot com arms of our brick and mortar partners to help them be successful as well. Again, our strategy is pretty simple, which is be available where the consumer chooses to buy the product. And that can be amazon.com and walmart.com, target.com et cetera. So, we're really agnostic in terms of where or through what means the consumer chooses to buy the product.
Linda Weiser: Okay, great. Thank you very much.
Ron Lombardi: Thank you, Linda.
Operator: Our next question coming from -- excuse me, our next question coming from the line of Mitch Pinheiro with Sturdivant & Company. Your line is open.
Mitch Pinheiro: Hey, good morning. Most of my questions have been asked. But I do have a couple on TheraTears. First, I was looking in the statement of cash flows. And I saw that the acquisition cash went up about $20 million from Q2 to Q3. I was curious just what that was?
Christine Sacco: Hey, good morning. Mitch, its Chris. So during the quarter we acquired the rights to a very small eye care brand in Australia. It's in the allergy category. It will complement what we have with our murine brand in that market and it'll be folded into Australia. It's pretty similar to Hydralyte. If you recall a couple years ago we acquired the rights to some additional Asian markets for the Hydralyte brand. I think it was back in 2019. It's about a $1 million, excuse me, not the Hydralyte brand, but this brand which is called Zetadine , is about a $1 million a quarter. So, it's pretty small, but we're looking forward to growing it in the future.
Mitch Pinheiro: Okay. And then, have you -- so, you've had a couple quarter sale with TheraTears and it's been tracking in line with your expectations. But like what you've had -- you've had a couple quarters here to get your arms around it. What are you thinking about as you look forward here with the TheraTears? Are we -- do you see any line extension possibilities? Is there marketing changes? Is there packaging changes? I was just curious what you're going to -- it's going to look like. So, I imagine it's going to be a little bit of a driver for you next year?
Ron Lombardi: Yes. Mitch, so really all of those things over time, we think there's distribution gain opportunities. We think there's product extension opportunities. New products and innovation. Maybe we'll even get to updating the packaging over time even though we've had it for seven months or so now. We're still in the very early stages of it. We just recently launched an additional new product, extra unit-dose  that that will be out at shelf now that you can find. So we continue to be very optimistic about the long-term growth opportunities for that brand and look forward to growing it over the long term.
Mitch Pinheiro: Okay. That's all I have for you. Thank you very much.
Ron Lombardi: Thank you, Mitch.
Operator: Our next question coming from the line of Carla Casella with JPMorgan. Your line is open.
Carla Casella: Hi. Good morning and thanks for taking our question. You guys mentioned, an improvement in the cold and flu kind of driving some of the results this quarter. Was curious how that stacks up versus 2019 or pre-COVID-19? And the second part of that question is that given the rebound in that category specifically, have you guys seen any sort of changes in that promotional environment?
Ron Lombardi: So, for starters we anticipate our sales for this year for our cough/cold products to still be below the 2019 and 2020. This is at fiscal year. At this point as a reminder the first six plus months of our fiscal year was still fairly slow for those categories. We saw this significant rebound largely beginning in December for us. We'll see how the rest of the year plays out. It looks like it's going to continue at least through this quarter for us. And then, for next year it's hard to predict what level of incidences that the season will start with and then what that will ultimately end up being in terms of a driver for both retailer orders and consumer take away at shelf. So, still lots, that's hard to predict about not only this quarter but next year as well. But good help to growth this year.
Christine Sacco: And just a reminder, cough/cold is about 7% or 8% of our sales.
Carla Casella: Great. Thank you. And the second  number of question, I think a couple of them have been answered so far. You kind of called out Australia driving a lot of the international results. Can you kind of talk about where that market stands in your opinion also relative to pre-pandemic are we back to full? We're a little bit below as well. I'm just kind of curious there? And that should be it from us. Thank you.
Christine Sacco: Yes, sure. So, not quite back to pre-pandemic levels, right? A big part of our business in the international segment is Hydralyte, the hydration brand, which benefited this quarter from increased cough/cold just as we did here in the U.S. incidences of flu. As vaccination rates were up it drove consumers back out. It's always hard to predict the timing of orders in our international segment, because it's a distributor model. Excuse me, but we as we sit here today we are anticipating a pretty strong Q4 above our long-term growth expectations, which is about 5% growth in our international segment. But just given the continued momentum we think Q4 is likely to come in a bit stronger than that 5% as well.
Carla Casella: Great. Thank you.
Operator: And our next question coming from the line of William Reuter with Bank of America. Your line is open.
William Reuter: Good morning. I just have two. So the first is you mentioned your supply chain has done pretty well fared given all the challenges. Are there any inputs to some of your products that you have your eye on, that you're concerned that potentially could be unavailable and could disrupt some of the availability of products to your customers?
Christine Sacco: Hey, good morning. So the short answer is not really. As a as a reminder, we're starting with the benefit of a diverse brand portfolio, and that also helps to diversify our cost components. We have a number of suppliers and pretty broad-based co-manufacturing partners. So, no, at this time we're not focused on one particular thing that would be material to the company.
William Reuter: Good to hear. And then, you guys went through the ranking of capital allocation. You also mentioned in the prepared remarks having additional optionality based upon leverage being a little bit lower than you had expected it to be at this point. I guess, what are you seeing in terms of valuations? Do you think that it's a relatively attractive market or do you think valuations are a little rich?
Ron Lombardi: So, for starters, when we evaluate M&A, that's certainly an important consideration valuation. But long-term brand building and the ability to get appropriate returns on the capital is very much where we start. So, a multiple is kind of a math exercise. It's really about what we think we can do with the brand over the long term to create value. In terms of the current environment, certainly there's a lot of headline news about super rich multiples, right? For example, GFK turning down 20 times EBITDA from Unilever, gives an indication that valuations are really super rich. For us, we tend to be competing against PE and other and other buyers who don't necessarily get the synergies or have the cost of capital that we have that allows us to be competitive out there. So, for example, with TheraTears, we saw a valuation of around 10-ish or so. So, for the things that we're competing for we don't see the super high multiples that you're seeing in the press.
William Reuter: Great. Very helpful. I'll pass to others. Thank you.
Ron Lombardi: Thank you.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Lombardi for any closing remarks.
Ron Lombardi: Good. Thank you operator. And thanks to everyone for joining us today. And we look forward to connecting again in May where we'll give an update on fiscal 2023 and the finish to fiscal 2022. Have a great day.
Operator: Ladies and gentlemen, this does conclude the conference for today. Thank you for your participation. You may now disconnect.